Operator:
Gustav Witzøe: Hi, and welcome to the Presentation of the Results in the First Quarter of 2010 for SalMar. My name is Gustav Witzøe, and I'm the CEO in SalMar. And I'm here today with the CFO, Trine and our Head of IR, Hakon. Right now, we are at InnovaMar, our main office and our fantastic harvesting and processing facility. Behind me you can see the holding cages [ph] where the well-boats unload healthy and sustainable salmon to be locally processed, here on Frøya [ph] before being shipped out to our customers all over the world. First, I would like to give our great thanks for the efforts of all of our employees is doing every single day. It is our employees across the entire organization, which make SalMar strong in the challenging period and make sure that we will get through this even stronger. Despite strict restriction due to the corona pandemic, SalMar has more or less been running as normal, with limited corona impact in quarter one. The good results we are presenting today are partly due to the good prices, but most of all, it is effort of our employees, the person and a strong SalMar culture we have in the company. I am both humbled and proud of this. We are a fantastic group people. And we need to remember that the reason we are present today is not the result of something extraordinary in this first quarter. This is a result of strategic and operational focus over a long time. The devil is in the details. This has lead to benefits in this quarter, but will also give benefits in the future. We will follow the same agenda as in previous presentation. I will take through the strategic and operational highlights before our CFO, Trine will take you through the operational and financial updates, and I will return with the ultimate outlook. First an update on the pandemic, which has shaken the whole world. I would like to thank the many thousand people working within healthcare all over the world, who have been taking care of the sick. And it's good to see that the society is now opening and then we soon will be back to a more normal situation. In SalMar, we have several postulates one of those is We Care. The postulate has gotten an extra meaning and the mentioned in this situation we are now experiencing. We have in post strict restrictions in SalMar to prevent the disease of spreading and to make sure that all of our employees have a safe and secure workplace. And it's good to see that none of our employees has been infected so far. As a company, we are fully aware of our responsibility towards our local communities. We have donated personal protective gear to local health authorities. And we have taken in people who has been laid off from other business. We are also focusing just on stimulation of local business by purchasing from local vendors. Even though, the spread of the coronavirus has led to significant market uncertainties and the prices has been falling, we in SalMar are in a strong position. The rural population needs food in their facility here at on Frøya [ph] We are processing large volumes of salmon which are sent directly to stores all over the world. We must remember we cannot forget the opportunities that is ahead of us. In SalMar we will come through this stronger and more powerful than ever before. And we have financial flexibility of strength opportunities. SalMar strategy is industrial and we are now implementing strategic measures throughout the value chain. In May, this year the construction of Senja 2 started. This is an important part of our future growth. When the small facility will be finished in 2022 it will give us increased capacity to produce more smolt with the right quality, size and amount. On Senja the construction of InnovaNor continues, with full speed in accordance with the plan and the building is now rising up from the ground. We expect it to start-up in 2021. The investment on Senja will give us a complete value chain in the north from smolt to processing. Senja will be a powerful industrial center for SalMar and we believe in Northern Norway. In addition, the upgrade of our harvesting and processing facility Vikenco is also moving according to plan, with expected finish first quarter 2021. The corona pandemic has given us remember of the importance of having a strong and flexible value chain. Now regarding our Ocean Farm 1 project. The final report for the Ocean Farm 1 development project has been sent to the authorities and the biological performance on our second production cycle is very good. We have also applied for conversion for the development licenses to normal licenses. Ocean Farm 1 will be an important unit within our SalMar production going forward and gives us important competence for the planning of smart fish farm, which will be established in the open sea. Our strategy has [indiscernible] ambition to be globally leading in both technological and substantial production of salmon. But now over to the results for the first quarter of 2020. We are -where we have our highest operational EBIT in the quarter in the history of SalMar. In Norway we harvest 35,700 tons in Q1, with an operational EBIT NOK1,044 million with a margin of NOK22 – sorry, NOK29.22 per kilo. Including Arnarlax, we harvested 40,000 ton in Q1 with an operational EBIT of NOK2,065 million with a margin of NOK36.61 per kilo. Central Norway delivered strong results through solid operation and good biological performance. Northern Norway has a good result, despite biological challenges caused by ISA. Solid and efficient operation and good capacity utilizations within harvesting and processing has given good margin. But fixed price contract margins have been hit by high spot prices. To give you more details, we will now give the word to our CFO, Trine.
Trine Romuld: Thank you, Gustav. Yeah, starting with the Central Norway. In the quarter we did harvest 22,200 ton with operational EBIT of NOK743 million giving EBIT per kilo of 33.50. We have a strong result in the period with stable cost development and as expected somewhat lower volume due to seasonality. After low price achievement in the previous quarter where large volume was harvested in the beginning of the period, we have a much more even distribution in quarter one giving a significantly higher prices in the quarter. In the quarter, we harvested mostly from the autumn 2018 generation, that was about 75% which was stable cost development from the last quarter and we started also to harvest from the spring ‘19 generation in the quarter, which so far showed very good biological performance and lower cost level compared to previous generation. And those locations are actually – I had outside of Frøya in what we called exposed areas and this location has proven strong record for many years. And in the second quarter we will finish the rest of the autumn 2018 generation and then 2019 spring generation. We expect the quarter two to have slightly lower volume and lower cost. For the year we keep the guiding unchanged volume wise. And then we go to then Northern Norway. We did harvest 13,600 ton in the quarter, operational EBIT of NOK389 million, and thus EBIT per kilo 28.68. This is a good result in the period with significant cost improvement compared to 2019. And as Gustav mentioned, the result is somewhat negatively affected by increased harvesting cost due to ISA on a few sites and also we had harvested from several harvesting facilities. We will to some degree avoid this additional cost when we have InnovaNor up running from summer 2021. In addition, I will also have a comment on the price because the price achievement is somewhat affected by a larger harvesting volume towards the end of the quarter, where prices were somewhat lower compared to the beginning. Spring 2018 was finished in this quarter, one third of the volume, and those were there - also the fish with somewhat higher cost towards the end due to increased harvesting costs, as already mentioned, and also somewhat lower growth. Spring ‘18 has been the main contributor to the harvest volume with stable development from previous quarters. The sites affected by ISA has been emptied [ph] in April and we will continue harvesting of the autumn 2018 in quarter two with somewhat lower cost compared to previous harvesting sites. We expect somewhat lower volume and lower cost in quarter two, and the guiding for the year is unchanged. Sales and processing. Sales and processing delivers an EBIT of negative NOK17 million in the quarter. We have this quarter solid an efficient operation together with improved capacity utilization, has given us satisfactory margin from this activity. We have 26,000 ton to our harvesting plant in quarter one, which is higher than comparing quarter 2019 and higher also in the last quarter 2019. But due to the high prices in the quarter one until the corona started, center [ph] prices towards the end of March we then have fixed price contracts with negative contribution in the quarter. In the quarter, we had about 24% percent of the contract share. The contract share for the quarter two is expected to be around 25% and for the entire year we expect plus, minus 20%, the price level slightly higher than we experienced in 2019. And as already mentioned by Gustav, the construction of InnovaNor is progressing according to plan. Arnarlax. We harvested 4,300 ton in the quarter with operational EBIT of NOK21 million, EBIT per kilo 492. As we already communicated in the last quarter we experienced increased mortality in beginning of this year caused by winter wound on the 2018 generation, which has led to harvest of large volume in a challenging period with bad weather condition and low sea water temperature. This has resulted in a weak result with high cost in the quarter, where mortality costs has negatively affected the figures by NOK30 million which give more than NOK7 per kilo. We will continue harvesting 18 generation in quarter two, but expect significantly lower volume. We expect about 1500 ton. In addition to this additional cost, we also experienced a significant price drop in euro in the very last end of the quarter that impacted also weak margin in the quarter. On the positive side, we see that in 2019 generation, which we harvested out in the last part of this year shows good biological performance. And guiding for the full year is kept unchanged, its still 12,000 ton. Scottish Sea Farms delivered an operational EBIT of NOK42 million with an EBIT per kilo 14.36. After challenging the second half of 2019, quarter one this year has shown good biological performance with good growth and low mortality. And there is good status in all regions. This has resulted in lower cost compared with previous quarter. But there is low harvest volume in the quarter where most of the volume came from Scotland and Orkney Islands. Volume is around 2,000 ton lower compared with the same quarter last year. And is a result of the biological challenges in the second half of 2019, where we had higher mortality. In quarter one, we are choosing to let the fish growth, and the volume harvested has been mainly sold to maintain contract obligations. And as mentioned also in the last quarter, we have invested in a new smolt facility, using re-circulation technology, also in Scotland, and also this quarter we are [indiscernible] significant number of smolt into sea with about 156 gram which is about double the size compared to previous years. I will also mention that the impact in our accounts after tax is negatively this quarter and that is because of the fair value adjustment. And operational result is positive. Guiding for the year is also here unchanged with 26,000 ton. As I advance on comment on the P&L, I will start with the comparison compared to last quarter and starting with the Norwegian operation. As you can see from this slide, we have increased the EBIT per kilo with the NOK12.50 per kilo and that is mostly driven by higher sales process. On the second half of the figure we present the same, including Arnarlax on Iceland, and we have here increased the margin NOK10.30 [ph] from last quarter and also had driven by higher prices, but then also somewhat negative affected with higher cost base on Iceland. If we go into the P&L, some comments. We have increased the harvesting volume and increased spot prices this quarter compared to the same quarter last year. And that is also the reason that we have increased the EBITDA and operational EBIT for the quarter. Due to significant changes in the index exchange rates, we have some impacts on the P&L. And I will highlight some of them. If we go to this fair value adjustment, which is negative by NOK480 million this quarter, NOK450 out of this is directly related to unrealized change of forward currency contracts. If you go to the other financial items negative NOK125 million. That is also related to unrealized loss change on currency from Euro and Pound to Norwegian kroner. And the last comment I will highlight is the items to be reclassified to P&L, NOK303 million and that is due to the investment we have both in Scotland, Norskott [ph] Iceland, Arnarlax where we calculate the equity in pound and euro to NOK. And income in associated companies which mainly from Scottish Sea Farm is negatively due to the fair value adjustment which I referred to some minutes ago. If you go further to the balance sheet. Comparing the balance sheet to the balance sheet as of year end 2019. Some main comments in last month's continues according to plan. And that is also one reason that the balance is increasing somewhat. In addition, the total balance increased due to Arnarlax and also Norskott where we have items in euro and pounds. Standing biomass is on the same level compared with last year and somewhat lower since end of 2019. Net interest-bearing debt is reduced with NOK671 million during the quarter, which gives us a net interest-bearing debt end of this quarter NOK2.2 billion. To sum up, SalMar has still a very strong and solid financial position with an equity share of 55.7% and we have the ratio net interest-bearing debt EBITDA of 0.55 In addition, we have still strong flexibility in committed bank facilities which is not used at the moment. If you look into movement in the net interest-bearing debt from year end 2009. As you can see from this slide, starting with the net interest-bearing debt at the beginning quarter NOK2.9 billion. And then we include the IFRS leasing. And then we have of course the result for the period. And some other comments to the rest, I would like to highlight investment, again. As we communicated, last quarter, we have strong CapEx program that is ongoing as planned, and for the 168 order that is increased debt due to exchange rate NOK versus pound and euro. And that leaves us to net interest-bearing debt of NOK2.2 billion end of quarter one. So Gustav, I will give the word back to you, after cleaning this desk.
Gustav Witzøe: Thank you, Trine. Next to the outlook. We also have postulate [ph] in SalMar saying that what we do today is better than yesterday. For us now is very important. And we will continue to have focus on the things we can impact and do something with. Good financial results come from good biological conditions and operations. And SalMar always come first. The devil is in the details. And we shall continue our optimization on cost improvements projects. At the moment, you’re actually seeing a good biological status in the sea both in Central and North Norway. In total, we expect similar volumes in Norway in Q2 with lower cost, slightly higher volume in Central Norway with lower costs. And slightly lower volume in Northern Norway with also lower costs. As Trine mentioned, we expect lower volume and weak margin on Iceland in Q2. Contract share is at 25% in Q2 and 20% for the full year, with prices slightly up from the level of 2019. Guiding in both Norway and Iceland is kept unchanged, we still expect moderate supply growth in 2020, but COVID-19 has led to increased market uncertainties. And SalMar, is well positioned I think to handle and the modeling [ph] market with strong operational and financial flexibility. And we have of course a positive view on the future for salmon [ph]. Our job is to implement the measures and strengthen us today, and at the same day, at the same time will make us even stronger going forward. We focus on the solution, not the problems. Within this, we have come to the end of our presentation. And we would like to thank all of you who has been watching. Out next quarterly presentation will be in August. Until then we hope all of you stay safe and healthy. Thank you.
Operator: